Operator: Good day and welcome to the Nucor Corporation fourth quarter and year end of 2009 conference call. As a reminder, today’s call is being recorded. Later, we will conduct a question-and-answer session and instructions will come at that time. Certain statements made in this conference call are forward-looking statements that involve risks and uncertainties. Although, Nucor believes they are based on reasonable assumptions there can be no you assurance that future events will not affect their accuracy. Some of the important factors that may cause actual results to differ from our predictions are listed in Nucor’s SEC filings. The forward-looking statements made in this conference call speak only as of this date and Nucor does not assume any obligations to update them. For opening remarks and introductions, I would now like to turn the call over to Mr. Dan DiMicco, Chairman, President and Chief Executive Officer of Nucor Corporation; please go ahead, sir.
Dan DiMicco: Thank you, Clayton. Good afternoon and thank you for joining us for our fourth quarter and 2009 annual conference call. We appreciate your interest in Nucor. Joining me for today’s call are the other members of Nucor’s senior management team, Chief Financial Officer, Jim Frias; Chief Operating Officer of Steelmaking Operations, John Ferriola; Executive Vice Presidents, Ham Lott; Keith Grass; Ladd Hall; Mike Parrish; Joe Rutkowski; and Joe Stratman. After reviewing our fourth quarter results, and our ongoing focus on growing Nucor’s long term profitability, we will take your questions. First and most importantly, as always, I want to thank everyone on our team at Nucor and at our Harris Steel and David J. Joseph teammates, for getting the job done and done safely in 2009. As always, Nucor’s real competitive advantage is your strong commitment to safety, teamwork, continual improvement, innovation, leadership, and taking care of our customers. Unfortunately, this is still a time of hardship and difficulty for everyone on our team. I want to stress how extremely proud we all are of the way you are responding to these unbelievably difficult times. Again, thank you and remember no one gets hurt on our shift today. 2009 was a year of unprecedented challenges, but the U.S. economy, steel industry, and Nucor. Entering 2009, our team faced both a severe depression in steel market demand, and overhang of high-cost pig iron purchased prior to the collapse in the economy in late 2008. Nonetheless, with the typical “can-do” attitude, the Nucor team worked together to successfully manage through these challenges and close out the year with a fourth quarter profit and our fourth consecutive quarter of improved earnings. Nucor team is doing a lot more than just weathering the great recession. We are investing in our people and investing in our operations. These investments are driven by Nucor’s focus on the long term, building real, sustainable value for our shareholders, employees and customers. Strength of our balance sheet and our culture enable us to use downturns as opportunities, to grow Nucor’s long term earnings power. A step demonstrated over the most recent up cycle in the steel markets from 2000 to 2008, where Nucor’s cyclical peak earnings power increased six fold. That performance continued our company’s long history of emerging from downturns stronger than we entered into them. Even better, the more than 20,000 men and women at Nucor are hard at work today building long term earnings power ahead of the next cyclical upturn. They’re on the job, taking care of our customers and making Nucor even stronger. Here are some of the exciting growth initiatives underway that we expect to generate attractive returns in the years ahead. For this annual capacity of 850,000 tons, our new Memphis SBQ mill is allowing us to more than double our participation in the highly attractive special bar quality market. Decatur, Alabama sheet mills galvanizing line increases Nucor’s value added coated flat role products annual capacity by one third to 2,000,000 tons. Our second Castrip Arkansas has begun production. Successful commercialization of new technologies will always be an important catalyst to Nucor’s long term profitability. John will discuss our Castrip success at Arkansas plant in more detail later. Nucor’s global commercial footprint is being dramatically expanded. Exports already represent 11% of our total steel mills shipments. Construction is underway to install a new heat treat facility at our North Carolina plate mill. Nucor plate is a value added product that will allow Nucor’s plate mill group to expand our business, both current and new customers. Our low cost rolling mill in Arizona will start production soon on a one shift basis to produce wire rod and coil rebar and our most important and highest return, investment is being made in our people. Best example of this is the no layoff practice, that’s been in effect since day one. Rather than being competitive disadvantage, this actually is a very important long term competitive advantage for Nucor. No layoff practice is a direct result of our team’s relentless focus on cost, customer service and new product development. Also reflects the long term focus and sustainability of Nucor’s business model. During the good times our team runs our business to maximize profits and during the downturns our team positions us to expand our capabilities and take advantage of inevitable opportunities to grow stronger. I emphasize that Nucor will remain disciplined and patient in executing our growth strategies. Discipline and patience are inherent in our long term focus. Our mindset is to be selective and take action on your opportunities for profitable growth arise. Execution of our multi-pronged growth strategy has resulted in multiple growth platforms for Nucor. Those growth platforms provide us opportunities to execute our growth strategy and upstream raw materials, and our core steelmaking operations and downstream fabrication, and internationally. As you can see from the list I reviewed earlier, we are currently presented with a large number of attractive opportunities for growth by optimizing our existing operations and growth by commercializing these new technologies. That is exciting to us. We have proven overtime to be two of Nucor’s most profitable growth strategies. The bottom line is that Nucor has the right people with the right assets and the right strategies to continue rewarding our shareholders with attractive long term returns on their valuable capital. Looking to the first quarter, economic steel market conditions remain extremely challenging. American Iron and Steel Institute’s industry, capacity utilization rate year-to-date through January 23, was 64%. For the economy as a whole, the story is told by a December, U6 or real unemployment rate of 18%. That rate includes discouraged workers, who have dropped out of the labor force and part time workers who are unable to find full time jobs. Kind of like the 11,000 folks that Wal-Mart just let go. Our view remains that real demand is in for a long, slow recovery. Very serious structural balances that created this economic crisis will take time to fix. Our nation worked years, not decades, digging in these deep holes we are in today. Excessive leverage resulted in credit bubbles not efficiently in this consumption. Mercantilist trade abuse that’s in the lack of a balanced, common, sense energy policy resulted in massive trade deficits. There are no quick fixes. No matter how much we wish for them. If it’s clear the previous short term sugar high approaches have failed and the ROLE failure of new economies, services don’t make things approach is now proven complete in its devastation and stupidity. These structural imbalances must be fixed with program policies that focus on the long term. The time is long overdue for policies in the United States, which attack our real problem, the recovery and jobs. We can create jobs by improving international competitiveness, reducing corporate taxes; restoring our trade balance, rebuilding our conventional infrastructure, and rebuilding our energy infrastructure to drastic reduce our foreign energy dependence. It is time to meet these challenges head on and turn them into opportunities and that is what I see ahead for the Nucor team, opportunities. The talent, dedication and the “can-do” attitude of my teammates are why I firmly believe Nucor’s best days are ahead of us. At this time, I will now ask our CFO, Jim Frias, to share with you his thoughts on our results and our financial position. Jim.
Jim Frias: Thanks, Dan and good afternoon. Nucor reported fourth quarter 2009 net income of $59 million, or $0.18 per share, an improvement over losses experienced in the first three quarters of the year. The key swing factor was that our sheet mills were profitable for the fourth quarter. Their results improved after completing the third quarter, the consumption of high cost pig iron inventories purchased in late 2008. Our full year 2009 net loss of $294 million, or $0.94 per share carried a substantial purchase burden from the usage of those high cost iron units. As Dan noted in 2009, our team faced the most challenging market conditions in Nucor’s history. Our steel mills shipped 14,000,000 tons in 2009, down by a third from 2008 shipments of 21,000,000 tons. Our 2009 steel mill capacity utilization was a historically low 54%. Nucor’s steel metal margin was $290 per ton for 2009, dropping $179 or 38% from $469 per ton in 2008. Steel Joist volume fell 46% in 2009, from the prior year, and our metal buildings tonnages were off 44% year-over-year. Our 2009 results also included pre-operating and startup costs for new facilities of $48 million in the fourth quarter and $160 million for the full year. These expenses were primarily incurred at the Memphis SBQ mill, the Arkansas Castrip plant, the proposed iron making project in Louisiana and Decatur galvanizing line. We view these costs as investments that will increase Nucor’s long term earnings power. Our financial strength allows us to manage our business with this long term focus. The current economic crisis highlights the great value our shareholders gain from Nucor’s strong balance sheet, healthy liquidity, and conservative financial practices. Nucor’s liquidity position remains extremely strong. At year end, cash and short term investments totaled over $2.2 billion. Our $1.3 billion unsecured revolving credit facility is undrawn and does not mature until in November 2012, and we have no outstanding commercial paper. Debt totaled $3.1 billion at the close of 2009 for debt to capital ratio of 29%. Our only debt maturity over the next two years is a $6 million industrial revenue bond maturing this year. It is also worth noting that $2.2 billion or 70% of our total debt matures in 2017 and beyond. Cash provided by operating activities was a very healthy $1.2 billion in 2009. This reflects the outstanding job our team of accomplished, reducing working capital last year. Principally, the high cost iron units at our sheet mills. Capital expenditures were $391 million in 2009 that compared to depreciation and amortization of $566 million last year. For 2010, we project capital spending of approximately $400 million. The major projects included are the North Carolina plate mills heat treat facility and work to expand the capacity at our New Iron DRI plant in Trinidad. In the first quarter we should see improvements in both shipments and pricing. However, we also expect a significant increase in scrap costs. As a result, we project a LIFO expense of about $25 million in the first quarter of 2010. This compares to a LIFO credit of $117 million in the fourth quarter of 2009. We will again follow our practice of providing quantitative guidance in the final month of the quarter. In December, our Board of Directors expressed its confidence by increasing the regular quarterly cash dividend on Nucor common stock by 3% to $0.36 per share, effective with the February payment. Nucor has increased its regular dividend for 37 consecutive years. That record provides strong evidence of the sustainability of Nucor’s business model. Nucor is in a position of strength to build on our company’s long tradition of being an effective steward of our shareholders’ valuable capital. Our team is focused on turning the challenges of today’s economic environment into opportunities for long term and profitable growth. Thank you for your interest in Nucor. Dan.
Dan DiMicco: Thank you, Jim. I’ll now ask John Ferriola to report on our steel making and raw material businesses. John.
John Ferriola: Thanks, Dan. Good afternoon. Let me begin by thanking all team members at our Nucor steel mills and our David J. Joseph and new iron raw material operations for your outstanding commitment to working safely and taking care of our customers. I am extremely proud of the work you are doing in these very challenging market conditions. I will again emphasize the importance of everyone staying focused on safety. Our hard work today is going to pay big dividends for Nucor in the future. We want all of our teammates to be around to enjoy the benefits from their hard work. Market conditions remain tough, although demand is showing slow improvement. While demand is soft in the non-residential construction markets, there are other market segments showing relative strength. These include power transmission, wind energy, bridge construction and automotive. We are also encouraged by the recent U.S. International Trade Commission decisions regarding illegally traded OCTG products from China. Energy related pipe and tube is an extremely important market for both our sheet mills and our plate mills. Another positive is that service center inventories are at relatively low levels. For December, month of supply for all products on a seasonally adjusted basis, were 2.3. Our mills continue to see expedited orders, due to lean customer inventories. Any incremental increases in steel demand will have to be met by increased mill production. With our highly flexible business model, the Nucor team is ready and able to respond quickly to our customers needs for high quality steel. Nevertheless, our expectation remains that it will be a long and slow recovery in the economy and the demand for steel. For Nucor, downturns create opportunities. As Dan mentioned, we have a number of exciting projects underway to continue Nucor’s proven track record of coming out of downturns stronger than we entered them. Our steel mill and raw material teams are continuing to grow our earnings power for the years ahead. Here are some updates on a few of our projects. Our work growing Nucor’s international sales and trading platforms is already paying off in a big way. Nucor is uniquely positioned among U.S. steel producers to capitalize on attractive export opportunities. Over 60% of Nucor’s steel production capacity is on deepwater. Compared to the 2009 level of 11%, our goal for 2010 is to ship 15% of Nucor’s total steel production into international markets. Nucor’s steel Decatur startup of its new galvanizing line has been a great success. Surface quality of both galvanized and Galvan mill product has been excellent. A third crew has been trained and is ready to take the facility to a 24 hour, seven day a week operating schedule beginning February 1, in order to serve a strong first quarter order book for galvanized steel. Castrip, Arkansas, has already shipped product to customers just four months after beginning equipment commissioning. The transfer of knowledge and experience from our first Castrip facility in Crawfordsville, Indiana to the new Arkansas plant has been tremendous. Our Blytheville, Arkansas team successfully produced a strip on only the second attempted cast. Our Nucor’s steel framing team has completed commissioning our rebar and wired rod mill in Arizona. Investment in property, plant and equipment is less than $50 million and annual production capacity is about 500,000 tons. This mill is a very attractive asset that expand our bar mill group’s geographic reach and product breadth. We expect to begin operations early in the second quarter on a one shift basis to produce coiled rebar and wire rod. I want to again thank all members of our steel mill, David J. Joseph Company, and new iron teams, for your hard and extremely productive work and as always, please stay focused on priority No. 1, working safely. Thank you. We appreciate your interest in our company.
Dan DiMicco: Thanks, John. I’ll ask Ham Lott to update us on Nucor’s fabricated construction products businesses. Ham.
Ham Lott: Thanks, Dan and good afternoon. As you can tell from the statistics that Jim cited, demand remained extremely weak, fabricated construction products through the fourth quarter of 2009. However, it appears that pricing has bottomed out and is starting to rebound. Also, our metal building group is becoming optimistic. We have seen an increase in orders for the last several months. Nucor has over four decades of experience in managing through down cycles and fabricated construction product markets. Our people take advantage of the downturns to improve our operations and to strengthen our position in the marketplace and that is exactly where our energy is focused in the current economic turmoil. I want to say thank you and keep up the good work to all of our team members at Harris, Nucon, Nucor Building Group, Verco and Vulcraft. Dan.
Dan DiMicco: Thanks, Ham. Joe Rutkowski, our Executive Vice President, leading Nucor’s business development work announced his plans to retire at the end of February. It has been a long held goal of Joe’s to retire at age 55 and he didn’t waste any time. Throughout his 21 year career with our company, Joe has made outstanding contributions to Nucor’s strong record of profitable growth and the results of his leadership of our business development activity speak for themselves. Just look at our growth record over the past decade. While he is maybe retiring, Joe will forever be a member of the Nucor family. Joe has had success throughout his career, throughout our operations, and here in Charlotte and we know that won’t be the last that we hear from Joe as he moves into retirement. Successive planning is an engrail part of our work to build sustainable long term value for Nucor shareholders and for that reason our team is excited that Executive Vice President Joe Stratman will add business development to his responsibilities. Joe Stratman is a proven Nucor leader, who has strong experience both at operating divisions and as a member of our senior management team. He is well prepared to help our team build more platforms for profitable, long term growth. We would now be happy to take your questions.
Operator: (Operator Instructions) Your first question comes from Kuni Chen - Bank of America/Merrill Lynch.
Kuni Chen - Bank of America/Merrill Lynch: I guess just a question on Trinidad. I see it’s down there for a couple weeks. Can you just give us some color on the maintenance process and when that’s expected to come back? Then kind of in conjunction with that, looks like you’re starting to replenish some of your pig iron inventory. Is that really just around the timing of when Trinidad comes back or is that perhaps maybe starting to hedge some tightness in the scrap markets? Just comment on your views there.
Dan DiMicco: The bad news is we took the plant down for a couple of weeks. The good news is, it started up Sunday morning. John, you want to take a shot at those questions?
John Ferriola: I might add to that, Dan. That we did take the opportunity while it was down to replace a belt that was required to be changed in the near future in any case, so that was about a week to a week and a half job that we were able to incorporate in the current downturn. As far as the pig iron goes, we have been making pig iron buys consistently throughout the process. These are regularly scheduled buys and we’re confident that with Trinidad coming back online last Sunday and operating well, starting up well. We’ll be able to get through this period without having to buy additional pig iron.
Dan DiMicco: Currently John, we’re actually have been operating at a full rate of capacity or we not?
John Ferriola: That’s correct.
Dan DiMicco: So the start up was going well and just to reemphasize, the pig iron purchases are due to market demand that we see and that associated with outage at Trinidad because it’s not an extended outage.
Operator: Your next question comes from Luke Folta - Longbow Research.
Luke Folta - Longbow Research: Just a quick question, I’m hoping you can give us your views on what’s happening this year in the construction space overall? Can you give us, what we should expect the last year and would you normally even see any pickup just really in a year anyway?
Dan DiMicco: The reality is, early part of this year will probably worse than last year. Mostly because effected backlogs have been worked out already through the fabricators and the architects and what have you. So it will take time to rebuild those backlogs of business. The non-residential construction market is not projected to have a significant up turn here in the first half of the year. We have not really seen much of anything from the stimulus to first stimulus package on infrastructure. People have been projecting. We would see that in the second half of 2010 and that remains to be seen. We are seeing some increased work in bridges or what have you. Overall, the long products construction market will see some softness in the early part of this year due to normal seasonal issues and the fact that the fabricator backlogs have been worked down. We expect to see an up tick as we go through the year. It’s a little bit too early to be forecasting anything. Mike, Joe, you have anything, you want to add.
Mike Parrish: I think the commercial sector will not improve as rapidly as the non-traditional, let’s call the industrial or power plant infrastructure work. I think that’s into a little bit long recovery, but essentially that’s were we’re end up the year.
Operator: Your next question comes from Michelle Applebaum - Steel Market Intelligence.
Michelle Applebaum - Steel Market Intelligence: I wanted to ask about Louisiana. Can we get an up tick and before you call me that it’s a crazy question. I will point out that can we get an update?
Dan DiMicco: Certainly. Ladd, you want to take a shot at that Louisiana projects?
Ladd Hall: Right now Michelle, we’re still waiting on permits. We continue to work on that. We think that in the near future that’s going to come to fruition. So the project is still being looked at, we’re just really waiting on permits right now.
John Ferriola: I would add that. We still have concerns about cap and trade in the long term impact that would have on project. In addition, we said right along that we’re waiting to get a better picture, what’s going on in the economy, that clearly picture what’s going on in the economy and I’m not sure, we’ve seen that yet. So between the environmental permitting issues, our concerns over cap and trade, and our concerns over the general economy, we are still working on the project, actively keeping it going, but at this point we are moving very slowly.
Dan DiMicco: As you know Michelle, we have purchased the entire piece of property down there, 7,000 acres. As I mentioned, our commitment to the State of Louisiana, to put a project there and we firmly believe we will, but until we have the permit in hands, taken longer than we thought because of a few minor skirmishes, nothing that’s going to prolong this thing much longer, but typical with permitting processes we have to jump to a lot of hoops. As you should, to make sure things are done properly and so we’re still looking at project, something that we will do on a go forward basis, but still we’re kind of sitting there spinning our wheels until the permit gets done until we find out. As John mentioned, what happens on those two key issues.
Michelle Applebaum - Steel Market Intelligence: Are you still looking at doing potentially a piece in Brazil?
Dan DiMicco: Brazil is still an option. The reason that it’s still an option in this because unfortunately if something does more forward our cap and trade without a global component to it, where everybody’s got to play by the same rules, having the opportunity to do something in Brazil might provide us with an alternative option, not a preferred one, I might add, but an alternative.
Michelle Applebaum - Steel Market Intelligence: Can I ask a related question sort of, if you’re looking at 15% exports this year, which is a terrific number and pretty much consensus view is that there’s got to be some kind of revaluation of the RMB in China this year. Is there any way you can let us have some guide posts on, if the Chinese were to allow maybe a 10% flow to the RMB, how much better your cost position would be? How much more export you could do because of that, because of you’re exporting near record amounts that would be where it is? I presume that if there was some kind of more competitive situation, this country would be exporting a lot more. Is that a fair assessment or no?
Dan DiMicco: In general, it’s a fair assessment. Revaluation of a currency that’s been manipulated for a decade now, against international trading obligations, is an important component of being globally competitive, particularly with the Chinese steel industry that is north of 600 million tons and still growing. As you well know, Michelle, the currency issue is one of several issues regarding heavy subsidization that are anti-export agreements, that the Chinese have entered into, but ignore and so it would be a very important component, but we would need to see that they adhere to all of the other agreements regarding subsidies with respect to export business. Now, if they use the steel within their own country and subsidize it, that’s not an issue, but if it’s exported around the world it is, so maybe half the problem would be with respect to currency and the other half of the problem has to do with givebacks, bad rebates, heavy government subsidies on energy, transportation and other issues. I think they would have to be countable tune. I believe the world is going to do that. I think the world is in a situation today, where you can see throughout whether it would be the European Union, or South America, or Mexico or Canada, or Asia that folks have had enough of the mercantilist trading practices and we’ll hold them accountable.
Operator: Your next question comes from David Gagliano - Credit Suisse.
David Gagliano - Credit Suisse: I just have two quick questions, at first. Just about the qualitative comments for Q1. Given the timing differences for prices versus scrap costs, do you expect your overall reported margin per ton will be lower in Q1 versus Q4? Is that the read we should be getting out of these comments?
Dan DiMicco: No, I don’t think you should be getting that read. They are as we have been doing consistently for a couple years now, qualitative in nature. We worked to highlight a couple of key things that will have a major impact, one will be increased shipments. One will be increased selling prices. We’ll also see increased scrap prices based upon the January buy, but remember, we have two more buys to make during the course of this quarter and those are both unknowns at this time. So to be able to forecast, what’s going to happen with margins, if we could do that, we’d give you a quantitative number today. The LIFO issue is something that comes with increasing raw material costs and increasing steel prices, so that’s something that we wanted to highlight for people in terms of how it relates to the previous quarter. We will update things when we get out of here about another month and a half or so and, now, we are seeing as John mentioned an up tick in some businesses, and we’re seeing weakness continue in some other businesses. At the end of the day, now, margins have a good chance of being healthier, but it’s too early to really predict that.
David Gagliano - Credit Suisse: Just the follow up question, any additional startup costs expected in Q1? Just want to make sure that that’s down behind…?
Dan DiMicco: Yes, there will be. Jim, do you have that quantified?
Jim Frias: Of course, we think it’s going to be in the range of $35 million to $45 million.
David Gagliano - Credit Suisse: That was $48 million in Q4; correct?
Jim Frias: That’s correct.
Operator: Your next question comes from Mark Parr - KeyBanc Capital Markets.
Mark Parr - KeyBanc Capital Markets: My question was pretty much along the line of what David was asking, and one another way of maybe getting some more clarity, Dan, do you have a feel for approximately what sort of utilization rates you could expect out of your steel production operations, in 1Q?
Dan DiMicco: We’re definitely projecting higher utilization rates in the fourth quarter, but I don’t think at this point they would be higher than third quarter. So probably John, do you have an approximate range or thereabouts?
John Ferriola: I would say that, giving at approximate range, we’d be looking somewhere between 60% and 65%.
Dan DiMicco: Obviously, some product lines will be lower than that, some will be considerably better and, but there’s still too many unknowns in the marketplace. We still have to deal with the import situations, going back to the question about margins that you said you also had an interest in, we’ve got some conflicting interest in the marketplace in getting back and calling back the increase in raw materials in some product groups. So we just have to see how things progress during the quarter.
Mark Parr - KeyBanc Capital Markets: Just another follow up along those lines, to Ham’s comments about Deck and Joist pricing and metal building order rates. I mean, could you give us a little more color on that? Is the Deck and Joist situation more a function of just rising raw material costs or are you indicating that maybe spreads are starting to recover on that business?
Dan DiMicco: I think what Ham was alluding to was that, he feels things have bottomed pretty much from apprising standpoint. Raw material pricing is going to translate into higher product pricing. It has to and obviously, the market is working to accomplish that. Whether we do, or not depends on whether what the positive information and sense that we’re getting from some of our people out there continues to be translated into a bit improved orders now as we go through the quarter. Ham, you want to add to that?
Ham Lott: Yes, I’d say that was basically it. We did see a little bit of market share increase in metal buildings.
Operator: Your next question comes from Timna Tanners - UBS.
Timna Tanners - UBS: I really wanted to get your take on kind of capacity utilization. If I look at your fourth quarter, and compare that with your capacity, I get to below 60% and then at the same time, we’re seeing some other steel companies restarting operations. I’m looking at a press release from Silver Star came out on yesterday. I’m trying to understand how you guys look at that given others since pick up their capacity at your mills and you’re exporting more?
Dan DiMicco: I didn’t quite catch the first part when you were talking about capacity. Let’s take a shot at the second part and if someone else here understood the first part, let me then can take you a shot of that, or comeback…
Timna Tanners - UBS: You had spare capacity given, what we were not. How do you look at that when you look at other steel mills that are restarting sheet mills relative to spare capacity you have at your facilities?
Dan DiMicco: The result is, no other way to look at the sole situation kind of in the fact that the market stinks, that the beaucoup capacity out there on everybody’s part and we’re all going to be out there doing our best to get our share of the market that exists in all product lines, because no product group, no product type, no end market is anywhere near back to where it was two years ago. So there’s excess capacity everywhere and while you see people restarting things, remember that, restarting from extremely low levels. So what people actually end up operating at is going to be totally determined by the strength in the market of each product group and each market segment. The Nucor will be there, getting our fair share of that market as we always do by being competitive in the marketplace. Raw material costs are putting pressure on everybody. It’s not scrap by any means. It’s all kinds of raw materials. Whether it is alloys, or whether it be iron ore, or whether it be coal, or coke, electricity costs, other gas costs have gone up. So, this is in a very similar situation to what we’ve seen in the past. Typically, historically, as raw material costs go up that translates into higher steel pricing. This is a unique environment, because of the depths of the downturn and the bounce off the bottom is mostly inventory related, people who’re catching up with the real demand versus the apparent demand. I think we’re still shaking that whole thing out. We’re still in a period of where markets are working to stabilize themselves, but growth is going to be slow and arduous.
Timna Tanners - UBS: Is it safe to say you’re more worried about domestic oversupply or imports at this point?
Dan DiMicco: You can’t be ignoring imports at all. When you have a situation like there is in the world today, where nobody is running at full capacity, except maybe the Chinese and even there I’m not sure they are you have to be concerned about imports. You have to be concerned about our international competition. There, the concern and the actions that will be taken will be consistent with supporting our markets and our customers and also consistent with the immediate trade action that’s required. The President has already done a 421 on tires. We see that as a fact that means that he’s willing to do it when the need arises as justified and so, we will be very diligent, on watching what happens with respect to imports, where they’re priced and where cost structures are around the world, but you have to look at the whole thing. When you’re in a situation globally like we are with the economic crisis, financial crisis, the low utilization rates everywhere, you have to be concerned about all your competitors, both domestic and international.
Operator: Your next question comes from Sal Tharani - Goldman Sachs.
Sal Tharani - Goldman Sachs: Just wanted to get some picture on the construction market, perhaps you or Ham can elaborate. Generally, we see some pickup always in the springtime. Do you think that we will have a similar seasonality affect this year, despite that we are of course from a very low level?
Dan DiMicco: Yes, I would. The winter has been so tough so far, I mean, it’s been, weather-wise, it’s been one brutal winter. So if nothing else, you ought to see some pickup from what’s been delayed certainly for the last month or two.
Sal Tharani - Goldman Sachs: Some of the pickup you’re saying Ham is just is you think is because of the people preparing for that, or I mean you said there has been some up tick in orders recently.
Dan DiMicco: The up tick in orders was mostly in the metal building and that was mostly a market penetration. Certainly the next 60 days are going to give you a really good idea of what’s going to happen.
Ham Lott: Those potential seasonal adjustments are real. As Dan mentioned, particularly because of the extremely cold winter, harsh weather that we’ve had around this country I think we’re done with it yet, but the overall non-residential construction market is weak. Alright and unless there are some major changes in how we approach infrastructure in this country and how we invest in our future, it’s going to be a long, slow build back on non-residential construction.
Sal Tharani - Goldman Sachs : One question for Jim. Any comments on working capital for the 2010, what are you assuming this year?
Jim Frias: Well, obviously if pricing does keep going up for both scrap and our selling prices, there’s going to be some increase in both inventories and receivables. So, we’ll see some up tick. We don’t have a hard number on it, but I think you can see by the balances that we have, what kind of relative risk there is.
Operator: Your next question comes from Michael Willemse - CIBC.
Michael Willemse - CIBC: Just wanted to follow up on the scrap market? Are you having trouble securing scrap or is this just a matter of this that supply chain being tight and the members of the supply chain trying to push prices in order to move product?
Dan DiMicco: I just want to clarify one thing. You did say scrap?
Michael Willemse - CIBC: Yes scrap
Dan DiMicco: Not a word where the dropped off. I was confused between whether you were talking about raw material market. Sorry general market overall like Keith you want to take a shot at that.
Keith Grass: I’ll take the first shot Dan. There’s been really no difficulty in securing material. I think that was the theme was that we were able to do it. We’ve had no problem. In fact, in the last couple of months obviously as the mills, Nucor systems demand has increased had no problem source we can meeting those demands. I would say we have seen in the last 60 to 90 days domestic US pricing sort of move upward to meet international pricing and become close to on par as to where that’s been so we’ve seen sort of an evening out of the domestic and international markets. There’s been a fair amount of trade in and around those levels and we’ve been a participant in and around those levels.
Dan DiMicco: I might just add, although it’s hard to imagine with the current weather, spring is right around the corner and with spring, things do tend to increase as the weather improves. So we’re hoping to see some of that again this spring.
Keith Grass: In fact the automotive industry has geared up production to fill up its lack of inventory, will also provide more prompt scrap to the market as well.
Michael Willemse - CIBC: You’re expecting there should be a little more supply to the scrap market them the next few weeks or few months?
Dan DiMicco: Two weeks is a little, in few weeks, next two to six weeks, depending on the region of the country will see natural increases in flows as we’ve seen in our facilities over the last few weeks as well.
Michael Willemse - CIBC: So, just one more quick question. The tax rate was pretty low in the quarter, obviously a catch up. Any thoughts on the tax rate for 2010?
Dan DiMicco: I know you really mean to direct that towards Jim Frias and Keith will be happy to jump in. I won’t let him.
Jim Frias: I’ll start. I’ll let her files that direct of taxes here letter filing and correct me when I’m finished, but we’re operating at such a close to breakeven level that the tax rate is very, very difficult to predict and that’s why the rate seems so out of whack when you look at both the fourth quarter and the total year having said that I’ll let Beth see if she wants to add anything to that point.
Operator: Your next question comes from Mark Liinamaa - Morgan Stanley.
Mark Liinamaa - Morgan Stanley: Regarding cash, can you talk a little bit about the quality of product that you’re getting from I guess mainly the Indiana operation, given the other’s just starting up and what end markets you see that getting into?
Dan DiMicco: Well, as a former, former metallurgical and quality engineer, I would tell you that the Crawfordsville quality is very, very good and the quality coming out of the plant Arkansas is in order of magnitude even better. John, would you agree with that.
John Ferriola: Absolutely as I said during my comments he startup at our Arkansas facility was phenomenal and that’s a real credit to the team in Arkansas and to the team in Crawfordsville, Indiana. They worked hand-in-hand, did a great job with exchanging technical information and experience and the startup at Arkansas was virtually seamless. It was a great startup. The quality coming out of Indiana is very, very good. The quality coming out of is very, very good. In Indiana we continue to expand the product range, applications and we’re much earlier in the process at, just going through the startup, but it’s going very well. The products that we have produced have been received well by the customers in the trials that we are going through currently.
Mark Liinamaa - Morgan Stanley: John, would you say that or not that based upon the experiences at Crawfordsville you’ve been able to incorporate so many more improvements into the new facility that certainly at a comparable period of time we are ahead on quality?
John Ferriola: Frankly, it’s not even close. There were over 500 improvements incorporated into the LIFO facility that the team in and LIFO and in Crawfordsville developed jointly. Just to give you some scope of it, we mentioned that we were able to get a firm strip after the second attempt in. I can tell you, having lived through the experience in Crawfordsville as the General Manager there we did not do it on the second attempt. It frankly, it took us almost a week to accomplish where we could get a firm strip and today LIFO, they can form strip on demand at any time. That took us frankly a month to be able to accomplish that in Crawfordsville. We already have a full coil produced and shipped to a customer out of LIFO. That took us several months to accomplish that task in you Crawfordsville. So the improvements have led to a much smoother startup and frankly, a much quicker progression of the quality in LIFO
Dan DiMicco: It’s not unusual to expect that even with a new technology when you start up your second plant for things to go a lot quicker, a lot smoother and to be able to get to a higher level of quality a lot quicker and that’s the good news. We’ve actually done that and we’ve done that even further than what our expectations were and considering the lousy state of the market overall, to have made that kind of progress in a short period of time and at this point in time it’s probably the market more than anything that’s hampering any further production and development at the Arkansas plant, but we’re very excited about it and looking forward to building our next one.
Mark Liinamaa - Morgan Stanley: Thanks for that and just quickly, you mentioned a strong 1Q order book for galvanize steel. Can you comment on what’s driving that, where you’re seeing the product go? Thanks. 
John Ferriola: Majority of that’s probably going toward automotive related applications.
Dan DiMicco: I would add to that, appliances, has been strong for us. So, between those three, that’s been the reason. Galvanized business has been very strong for the last quarter and into the first quarter
John Ferriola: You have to also look at the fact that there’s been a significant drop-off in imports of galvanized product over the last year.
Operator: Your next question comes from David Lipschitz - CLSA.
David Lipschitz – CLSA: Tim asked a question about the restart and things like that. People have been lauding the steel industry for the discipline they’ve had, keeping off production. People are since this thing has prolonged, starches are people are just based the saying we need to bring production back on line, are you worried about the discipline in the industry?
Dan DiMicco: Just as the when I was in elementary school. The nun was never far away to smack us on the back of the head. The market in this case is the nun. The market will force discipline upon the industry. Restarts are not unexpected. The issue going forward is you how well will people including our ourselves be able to run as the dynamics in the market level out with inventory adjustments, whether it in the manufactured products segment or what have you and how we see the real demand improve. Right now real demand is still struggling and struggling mightily across the Board. At some point in time, we will find out exactly what is driving the market and the inventory part of it will phase out and will be tied with real demand. Many products we already are there. I think you’re seeing a delayed reaction in automotive and we’re still getting an inventory reaction to car builds and cars on lots and what have you. Hopefully we’ll see real demand, but again we are very, very cautious about the speed at which recovery will take place, steel consumption will take place. So at the end of the day, the market will be the disciplinarian and people will have to react to the market with how they’re running and what capacity utilizations are running at. The benefit that Nucor’s had that I will reemphasize and then companies like Nucor is they haven’t laid off their employees, they have a very flexible production process. We’ve been able to get in there immediately to meet customers needs or some of our competition took time for them to be able to gear backup again and we’ve benefited from that and we will continue to benefit from that. John, do you have anything you want to add?
John Ferriola: I would like to add one thing, building upon Dan’s comments of no layoff practice. As a result of that we used the difficult times last year to develop new products. We expanded our product range in virtually every one of our product groups and that has helped us weather this storm and will help us weather the storm going into 2010.
David Lipschitz – CLSA: Just to a quickly follow-up. Are you seeing any pre-buying with scrap prices going up and things like that? We saw inventories rise in December. Are you worried that people have started to pre-buy before surcharges kick in and things like that? Have you seen any of those?
Dan DiMicco: That’s a very smart, intelligent question and the answer is of course. Our customers are not dummies. They’re very smart, thank goodness. Not all of them maybe, but certainly the vast majority of them. They see the handwriting on the wall as raw material prices move, it was very transparent. It always is very transparent with the information in the marketplace, particularly all of the discussions out there about iron ore, and coal, and scrap, energy and what have you, people are very well informed. So yes, I’m sure there was a measure of let’s get some business on the books and bring it in before pricing goes up too much further. That’s why I say you have to be very cautious going forward to see how things really shake out on the inventory side and where the real demand picks up and its way too early in the year and a very ugly economic environment to be making wild forecasts, so we’re not. We’re being conservative as usual.
Operator: Your next question comes from Debra Fine - Fine Capital Partners.
Debra Fine - Fine Capital Partners: I also had a follow-up question on service side which is now more specific questions I asked have been answered. At the height of the stress, at the height of the crisis, there were a lot of potential scenarios playing out where different assets were going to become available for sale from distressed sellers. I’m wondering now if with, given there isn’t distress that there’s in the market, if you don’t see more opportunities for consolidation given that lots of folks are restarting capacity potentially at inopportune times.
John Ferriola: Certainly the scenario could play out where more stress could be going into the market and more stress on weak players. We don’t think by any means we’re anywhere near being out of this thing and we said all along that it would take somewhere between 12 and 18 months for people to forget how rich they were in 2007 and 2008 and recognize how poor they are today. So we don’t think that we’ve got to the point yet where the opportunities are going to show themselves in anyway close to a peak form and that’s why we said we’re going to continue to be patient and things will develop.
Operator: Your final question comes from Bob Richard - Southridge Investment.
Bob Richard - Southridge Investment: Concerning your pending SBQ mill startup, what level of dialogue have you had with your potential customers? Could you comment on maybe the level of success you’ve had?
Dan DiMicco: Dialogue has been dramatic and it’s been positive. Our team’s done a great job. Mike, do you want to give a little flavor on the customers we’ve talked to, the approvals we’ve gotten and…?
Mike Parrish: We’ve had great progress on getting supplying trials and getting qualifying with forecasts, ring rollers, and seamless tube manufacturers, got some great large OEMs that we’ve got some great relationships now and have been qualified. So things there are going very well from that perspective and we just need to get larger and more orders right now and we’ve also done things around the world and shipments around the world too with India, Germany and Mexico.
Dan DiMicco: Part of our domestic OEMs, we’re in conversations with them. Mike, as I understand it, about doing business with their operations overseas. Is that correct?
Mike Parrish: Correct.
Operator: There are no other questions in queue at this time. I’ll turn it back over to Mr. DiMicco for closing comments.
Dan DiMicco: Thank you, Clayton. Thank you all for your interest, your questions. Thanks to all of our teammates out there for doing their job and doing it safely. Thanks to our customers for working with us through this tough time and our teammates for working with our customers and let’s hope that we get the right things going on a macro scale in our economy going forward and the right focus on jobs and recovery. So that we can all be talking more positively about job creation and improving these conditions. Thank you all very much.
Operator: This concludes today’s conference call. Thank you for your participation.